Operator: Good morning. My name is Gabriel, and I will be your conference operator. [Operator Instructions] This is FHipo's Fourth Quarter 2025 Conference Call. [Operator Instructions] FHipo released its earnings report on Thursday, February 26, after market closed. If you did not receive the report, please contact FHipo's IR department directly, and they will e-mail to you. Please note that this call is for investors and analysts only. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made during this conference call are based on information that is currently available. Please refer to the disclaimer in the earnings release for guidance on this matter. We are joined by Daniel Braatz, Chief Executive Officer; Ignacio Gutierrez, Chief Financial Officer; and Jesus Gomez, Chief Operating Officer. I would now like to hand the call over to Daniel Braatz. Daniel, please go ahead.
Daniel Michael Zamudio: Thank you, and good morning. Thank you for joining us today. Let me walk you through our fourth quarter and full year of 2025. Throughout the year, we maintained a disciplined management of the company, focused on strengthening our balance sheet and optimizing our capital structure, aiming at generating long-term sustainable value for our investors. In the 4Q, we maintained our commitment to delivering profitability. Throughout its history, FHipo has shown solid financial performance, consistently delivering distributions. As of the fourth quarter of 2025, we have distributed more than MXN 7,300 million to our investors on a cumulative basis since 2014, reflecting our long-standing focus on value creation and capital discipline. FHipo maintained a strong capitalization profile. As of the 4Q of 2025, FHipo reported a capitalization ratio of 60% and a debt-to-equity ratio of 0.7x on our balance sheet. In recent years, we have successfully executed a disciplined deleveraging strategy, focused on strengthening our balance sheet and better position the company to pursue attractive market opportunities when conditions get favorable. Our financial margin stood at 54% in the quarter. And on a cumulative basis for 2025, FHipo obtained a financial margin of 54.5%, highlighting the company's operating efficiency. On January 20, 2026, we completed the full early amortization of the RMBS CDVITOT 14U collateralized by INFONAVIT denominated in VSM or Veces Salario Minimo. The execution of the cleanup call was based on portfolio balances as of December 2025. And finally, as of the date of this report, the CDVITOT 13U, 14U and 15U issuances that have been fully amortized throughout the execution of the cleanup calls, significantly reducing the balance of the INFONAVIT mortgages denominated in VSM in our total portfolio. Moving on to Slide 5. We highlight FHipo's consistent track record of generating value to our investors through stable distributions. As I mentioned before, up to the 4Q of 2025, our annualized yield per CBFI stands at 10.9% based on an estimated quarterly distribution of MXN 0.35 per share or per CBFI, subject to the current distribution policy. We have also distributed over MXN 7,300 million to our investors since FHipo was created back in 2014. That is equivalent to MXN 19.68 per CBFI, demonstrating our investor-focused approach and our ability to translate disciplined financial performance into consistent returns for our shareholders. As we move into Slide 6, we take a closer look at FHipo's solid capitalization profile, supported by a disciplined financial strategy management. As of the fourth Q of last year, our debt-to-equity ratio considering both on and off-balance financings was 0.3x and considering on balance financing stood at 0.7x. This result was supported by a balance sheet optimization strategy, which reduced our leverage significantly since 2019 and enhanced our ability to capitalize on market opportunities under favorable conditions. On Slide 7, we continue focusing our strategy on assets with an attractive risk-adjusted profile. Our portfolio collateralization profile remains very strong with an average loan-to-value of 77% at origination and today, an estimated loan-to-value of 28.6% based on current market value. Moving on to Slide 8. As of the 4Q, our nonperforming loan ratio based on the accumulated balances of the total portfolio at origination stood at only 3%, reflecting the historical credit performance of the company. Finally, on Slide 9, FHipo affirms its commitment to sustainability and ESG best practices. Our objective is to generate long-term positive impact beyond financial returns. We have provided more than 100,000 loans, of which women borrowers account for 31% of our overall portfolio, while 46% of our workforce are women, underscoring our commitment to inclusion and gender equality. On governance, our Nomination, Audit and Practices committees are fully independent, and more than half of our technical committee members are independent as well, reinforcing strong oversight and transparency. On the environmental front, approximately 70% of INFONAVIT borrowers have utilized the green mortgage program benefit, supporting energy efficiency home improvements. And internally, we have introduced initiatives to reduce paper, plastic and water consumption. Together, these actions demonstrate FHipo's commitment to responsible and sustainable value creation. Now I will turn the call over to our CFO, Ignacio Gutierrez, who will walk you through our leverage strategy.
Ignacio Gutiérrez Sainz: Thank you, Daniel, and good morning, everyone. I will walk you through our funding structure and leverage strategy. FHipo has further reinforced its balance sheet by executing a disciplined deleverage strategy over the past years. As of the fourth quarter of 2025, our total debt-to-equity ratio, including both on and off-balance financing stood at 1.3x. And on a stand-alone basis, our on-balance leverage ratio was 0.7x. This financial discipline strengthens our position and provides us with greater resilience in evolving market conditions. Our diversified funding structure allows us to maintain solid liquidity levels while preserving the flexibility to allocate capital efficiently and focus on long-term value creation. On Slide 12, we will go through the detailed breakdown of our consolidated funding structure as of the fourth quarter of 2025. Our funding sources are well diversified across securitizations, bank facilities and capital market instruments with competitive rates and spreads. As shown on the breakdown, over 90% of our outstanding financings have a legal maturity exceeding 20 years, providing long-term funding stability and mitigating refinancing risks. Given our current capital structure, FHipo maintains additional leverage capacity of approximately MXN 16.8 billion or 1.8x debt to equity in comparison with the target leverage limit of 2.5x. This position gives us flexibility to act prudently and selectively as opportunities arise. Now with this, I'll turn the call over to our COO, Jesus Gomez, who will walk you through the portfolio breakdown before we discuss the financials.
José de Jesús Gómez Dorantes: Thank you, Ignacio. Good morning, everyone. Thank you for joining us today. Let's move on to Slide 14 to take a closer look at the breakdown of our mortgage portfolio as of the end of fourth quarter 2025. FHipo's consolidated portfolio comprised 43,849 loans as of December 31, 2025, with an outstanding balance of MXN 16.8 billion, an average loan-to-value at origination of 77% and an average payment-to-income ratio of 24.4%. At the end of the quarter, 92% of the portfolio is performing. Our portfolio remains diversified across several origination programs, including INFONAVIT Total, INFONAVIT Mas Credito, Fovissste and the digital mortgage platforms portfolio, which as of the end of the fourth quarter 2025 represents 20% of the total consolidated portfolio. In over 10 years, we have continuously adjusted our origination and asset acquisition strategy to improve the credit quality of the assets we acquire. Moving on to Slide 15. FHipo's portfolio remains geographically diversified across all 32 Mexican states. Nuevo Leon, Estado de Mexico and Jalisco continue to represent the largest concentrations together accounting for approximately 28.8% of the total portfolio balance. In terms of our partnerships and origination programs, here is the breakdown of our portfolio. INFONAVIT Mas Credito program accounts for 51.7% of the total portfolio equivalent to MXN 8.7 billion. The digital mortgage platforms portfolio accounts for 19.2%, equivalent to MXN 3.2 billion. The INFONAVIT Total pesos program represents 14.3% of the total portfolio, equivalent to MXN 2.4 billion. Fovissste's portfolio accounted for 12.1% of the portfolio equivalent to MXN 2.0 billion. And finally, the INFONAVIT Total VSM denominated loans reached only 2.7% of the portfolio for MXN 0.4 billion, significantly it reduces the balances of INFONAVIT mortgage denominators in VSMs after the cleanup call of the CDVITOT transactions that Daniel mentioned before. This distribution reflects our strategy to prioritize origination programs that offer strong risk-adjusted returns while maintaining a diversified portfolio aligned with market demand. FHipo is well positioned to participate in future growth opportunities while maintaining a strong focus on profitability. I will now return the call back to Ignacio Gutierrez, our CFO, to discuss FHipo's financial results for the fourth quarter of 2025.
Ignacio Gutiérrez Sainz: Thank you, Jesus. On Slide 17, our consolidated nonperforming loan ratio stood at 8% at the end of the quarter. As of the end of the fourth quarter of 2025, we continue to maintain a solid reserve and allowance for loan losses with an expected loss coverage of 1.3x and an NPL coverage of 0.53x. If we move to Slide 19 for our financials for the quarter. The total net interest income for the fourth quarter of 2025 was MXN 321.6 million, reflecting an increase compared to the fourth quarter of 2024. The interest expense totaled MXN 148 million, representing a slight decrease compared to the MXN 153.9 million reported in the fourth quarter of 2024, primarily as a result of the decline in interest rates over the past 12 months. Our financial margin stood at MXN 173.5 million, representing 54% of the total interest income, an increase of 3 percentage points compared to the 50.9% in the fourth quarter of 2024. The allowance for loan losses recorded in the fourth quarter of 2025 was MXN 44.9 million, reflecting the underlying credit performance of the portfolio during the quarter and its expected loss. The valuation of receivable benefits from securitization transactions showed a net loss of MXN 8.2 million in fair value during this quarter. This result is mainly explained by the performance of the portfolio and collateral of such trust certificates during the quarter and a net effect derived from the total early amortization of the CDVITOT 14U trust certificates. The total expenses incurred during the fourth quarter of 2025, which include the portfolio servicing and operational services as well as other expenses amounted to MXN 108 million. As a result, the net profit for the quarter amounted to MXN 19.5 million. With this, the estimated distribution for the fourth quarter of 2025, subject to the current distribution policy, as Daniel mentioned, is of MXN 0.356 per CBFI, which considering the average price for CBFI as of the fourth quarter of 2025 and the days of lapse in the fourth quarter results in an annualized yield of 10.9%. With this, I'll now hand the call back to our CEO, Daniel Braatz, for some closing remarks before we move to the Q&A session.
Daniel Michael Zamudio: Thank you, Ignacio. As we close 2025, FHipo's business model continues to demonstrate resilience and adaptability. During the year, we sustained a strong financial position and maintain a healthy capitalization profile. Our focus remains on driving profitability and strengthening our capital structure and managing risk responsibly. Through 2026, we will continue evaluating new opportunities aligned with our strategic objectives while enhancing the overall quality of our portfolio. We believe the initiatives undertaken so far have strengthened our position for the future, enabling us to capitalize on future market conditions. Our objective remains clear to deliver stable and sustainable returns to our holders while maintaining the disciplined approach that has defined FHipo since inception. At the same time, we will continue advancing our ESG initiatives and creating long-term value for all stakeholders, including the communities we serve. Thank you for your continued trust. I'll now hand the call back to the operator to open the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Martin Lara. [Operator Instructions].
Martín Lara: This is Martin Lara from Miranda Global Research. I have 2 questions. Could you please share your expectations for this year in terms of loan portfolio, including potential acquisitions of other portfolios or other financial companies? That's the first one. And the second one is that your capitalization ratio is very high at 60%. How do you see this indicator going forward?
Daniel Michael Zamudio: Thank you for your questions. In regards of the capitalization, as you know, we've been trying to stronghold our balance sheet in order to take advantage of future leverage opportunities that obviously will reduce the cap ratio that we are holding at the moment. We're working in a couple of financing facilities that will help us lever a little bit more our equity. And the use of proceeds for those financings goes towards your first question, which is we're going to be using part of those proceeds and liquidity that we are holding at the moment to tackle some opportunities in terms of acquisition of new originators and also portfolio on mortgages and real estate-backed loans.
Martín Lara: Okay. And your -- I have a follow-up. Your financial margin was very strong. It expanded nearly 4 percentage points year-on-year. What can we expect in the future?
Daniel Michael Zamudio: I would say that we need to expect the financial margin to keep at that level. It will depend a lot, as you know, on the interest rate curve that Mexico will be running. As of today, we have a small portion exposed to floating rates. But as we keep performing throughout the year and depending on what Banxico does, I think that could increase a little bit more. But to be in the safe side, I would say that you should target that between the 50% and 54% of financial margin is a target for the company in 2026.
Martín Lara: Okay. But more towards 54% instead of 50%?
Daniel Michael Zamudio: I would say that, yes, more towards the 53.3%.
Operator: We would like to take this moment to thank you for joining FHipo's Fourth Quarter 2025 Results Conference Call. We have not received any further questions at this point. So that concludes our question-and-answer session. Thank you. I would now like to hand the call back over to Daniel Braatz for some closing remarks.
Daniel Michael Zamudio: Thank you all for joining us today. Please don't hesitate to reach out to us if you have any more questions or concerns. We appreciate your interest in FHipo and look forward to speaking with you soon.
Operator: That concludes today's call. You may now disconnect.